Operator: Good morning, and welcome to Kopin Corporation's Fourth Quarter 2012 Financial Results Conference Call. Today's call is being recorded for Internet replay. You may access the archived version of the call on Kopin's website at www.kopin.com. With us today from the company are Chairman and Chief Executive Officer, Dr. John Fan; and Chief Financial Officer, Mr. Richard Sneider. Please go ahead, sir.
Richard A. Sneider: Thank you, operator, welcome, everyone. Thank you for joining us this morning. John will begin today's call with a discussion of our strategy, technology and markets, and I will go through the fiscal 2012 results at a high level. John will conclude our prepared remarks, and then we'll be happy to take your questions. I would like to remind everyone that during today's call, taking place on Wednesday, March 13, 2013, we will be making forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are based on the company's current expectations, projections, beliefs and estimates, and are subject to a number of risks and uncertainties that could cause actual results to differ materially from those forward-looking statements. Potential risks include, but are not limited to, demand for our Golden-i technology platform, operating results of our foreign subsidiaries, Forth Dimension Displays and Ikanos Consulting, Ltd., market conditions and other factors discussed in our most recent annual report on Form 10-K and other documents filed with the Securities and Exchange Commission. The company undertakes no obligation to update the forward-looking statements made during today's call. Our earnings release and prepared remark contains revenue disclosures that have not been calculated in accordance with United States Generally Accepted Accounting Principles or GAAP. We are disclosing non-GAAP revenue to enable investors to reconcile with guidance that management provided during fiscal 2012. For more information on our non-GAAP financial measures, please see the table for a reconciliation of our GAAP results to non-GAAP measures included at the end of earnings. And with that, I'll turn the call over to John.
John C.C. Fan: Thank you, Rich. Hello, everyone, and thank you for joining us for our fourth quarter and full year earning call. I would like to start off this morning by discussing our long-term strategy, assuming a bigger picture on Kopin's technology and markets and laying out a few milestones for investors to watch for as we embark on our growth path. Rich will then give you a clear picture of our results and finances, and then we will open the lines to questions. The sale of our III-V assets in the beginning of this year, January, was a very significant milestone for our company. I've been asked many times why we decided to sell, which has for a long time been such a successful and core part of our business. The answer is that the sale is consistent with our multi-year strategy to position Kopin for the future. Our business model now has moved from commodity business to a business, where higher gross margin potential and growth potential, which mirrors technology companies such as Qualcomm. The future is car-based, hands-free, voice-activated mobile computing systems. And Kopin is now focused and positioned to be a leader in providing critical components, and licensing reference systems through partners who develop branded, wearable computing products. In 2012, the wearable computing computer market was estimated to be about $800 million. Analysts expect this number to grow almost exponentially in the coming years. [indiscernible] research expect the market to be $1.5 billion by 2014. IMS Research expect to be around $6 billion by 2016. APR Research forecasts the wearable computing device market will grow to 485 million annual shipments by 2018. We, actually, believe that in truth, the weighted analyst firms are defining this technology -- does not encompass the full breadth of how we view the coming wave of products and solutions that will make up this variable market. Recently, Verizon launched a national advertising campaign called Powerful Answers that focus on how emerging technology will change the world. The centerpiece of the ad show a firefighter using Kopin's Golden-i technology to see through smoke and save lives. In his CES keynote speech this year, Verizon CEO, Lowell McAdam, introduced a video of our Golden-i technology, saying it was an example of something that would transform society and change the world. Now we also have seen Google make a big media splash with their Glass technology, there's clearly intense customer interest. Just recently, just bought a fake Google Glass on eBay sold past $15,000. Many major companies are now increasingly approaching this market, and Kopin is uniquely positioned to partner with them to reach the market faster and more effectively. We have been anticipating the wearable computing wave for 25 years. Our experience, our portfolio pattern enable us to work with partner companies to help to achieve their goal. But with most of the solutions, we have created the first commercially available wearable computer, the HC1. But in order to enter the wearable computing market, the company's 6 core competencies, namely: software, speech enhancements, display, ASIC, optics, and ergonomics. We believe we have achieved -- we have the stronger IP portfolio in this market that cover all 6 of these areas. We filed the first patent in this market in 1993. And now we have more than 600 -- more than 200 patents in this area, with several new patents filed every month. We also have strategically acquired and partnered with companies to further develop our 6 core competency in this area. What will the future of wearable computing look like? Well, in the industrial and professional markets, let me give you a few examples. Engineers in a gym [ph] manufacturing facility would be able to see full presence in the corner of their eyes instead of having to stop their work and check a tablet. Police would be able to pull up directions and records as they're running down streets. Pilots would be able to view flight instructions without looking down. Workers in a fulfillment center will be able to scan packages simply by looking at them. Doctors would be able to see medical information, vital statistics as they are doing the operation. And stock analysts would no longer need to hunch over their desk all day. They will be able to walk around the offices, with the equivalent of 50-inch screen right next to their eyes. In the consumer market, we believe the Glass-type products will replace smartphones sooner than many people think. You will be able to instantly take a picture or video of what you're looking at and share it with your friends. You will be able to immediately translate foreign languages. You will be able to see directions without looking down. Also, you will be able to receive more information about a piece of art by just looking at it. And, of course, you can make phone calls, type and send messages hands free. Kopin's already fulfilling many of these areas with our Golden-i technology. So let's talk specifically how do Kopin fits into the future. As we discussed before, our company needs 6 core competencies to create a wearable computing product: they need software, speech enhancement, display technology, ASIC, optics and ergonomics. Through our 25 years of real-world experience, patents, IPs, R&Ds, acquisitions and partnerships. Kopin is leading all 6 areas. More importantly we know how to seamlessly integrate hardware and software, a critical task for any company entering this market. Let me give you a little bit more detail. Regarding software, we have made strategic investments in IQE, which combines new voice-recognition engine with unique algorithms to deliver the world's most advanced natural speech search engine. We have purchased Ikanos to develop software solutions, which can run on both Windows and Android. With regard to speech enhancement, as we have all noticed, speech recognition software in the real world does not really work well. The technology must recognize the voice of the user and block off background noises. We believe the inability to do so has held speech-activated wearable and audio back. Through years of trial and error and our purchase of the [indiscernible], Kopin has developed the most advanced capabilities in this market, which are now being permanently used in Golden-i technology. But with regards to display, as many people on the call will probably know, Kopin has been the leader in ultra-compact display margins for over 20 years. In order to enter wearable computing, companies must integrate their compact optics with very small ultra-bright and power-efficient display. Kopin's industry-leading translucent LCD display, which we call fiber display are literally tailor-made for this application. Going to ASICS. Kopin has a group of partners developed the lowest proprietary circuits designed for micro-display screens in this market. Now with respect to optics. In order to achieve success in wearable computing, the optics has to be very small and show excellent images. Kopin has assumed intellectual property in this area. In addition, we are partnered with Olympus to develop the smallest and most advanced optics available. And finally, regarding to ergonomics. Again, experience come here. For years, we've been working with organizations such as the U.S. Military and Motorola Solutions to develop handsets that are comfortable and that people will want to wear. I never thought we'd work with fashion consultants, but we have on several occasions. We know that in order to succeed, we have need to make products that look -- will look good and wear naturally. And we've built significant expertise on IP in this area. As you can see, there is an incredibly complex ecosystem for technologies that go into making wearable computing devices, and we have successfully managed the complexities to use such commercial products into the market -- the first commercial product in the market. Now, October last year, Kopin celebrated a milestone event, several years in the making. The commercial launch of the world's first hands-free computer headset, the Motorola Solutions HC1 based on Kopin's wireless hands-free technology platform, Golden-i. We'll not just talk about core competencies, along each of these 6 critical areas. The Golden-i technology emphasize our business model to partner with major technologies to develop wearable computing devices that will change the world. Motorola HC1 is just the first of what we expect from [ph] new card company [ph] asset based on Kopin's Golden-i technology platform. We are working with other partner companies to provide the full range of technology required for the offering. We expect to announce additional partnerships in the coming months. Our balance sheet remains very strong and debt free. We know we are ideally proficient on our engineering talent and intellectual property introspective to fulfill our mission to use our expertise in 6 technology areas to provide critical components and to license references into partners, which develop branded, wearable computing products. We expect our license-based model will drive us towards high gross margin and faster growth and recurring revenue. We believe we're now very focused and structurally, financially -- structurally and financially positioned to be leading in this emerging area. 2013 is an investment year for us and for our partners. And we think 2014 will be an inflection point in wearable computing, from which this market will grow rapidly. Given our business model and our position, we expect to grow faster than the market once it kicks off. We will keep you updated on our growth and our progress throughout the coming quarters. With that, I will turn the call to Richard for the quarter's financial results and guidance. Richard?
Richard A. Sneider: Thank you, John. Now let me provide an overview of our 2012 financial results. Please keep in mind that in our 2012 results, we have classified our III-V product line, which includes our Taiwan subsidiary, KTC, as we've discontinued operation. Accordingly, while the current assets, long-term assets and current liabilities relate to our III-V product line are shown as a separate line item in the consolidated balance sheet entitled assets sold for sale. And the results of operations of our III-V product line is shown as a separate line item entitled discontinued operations in our consolidated statement of operations. GAAP revenue for the 52-week period of fiscal 2012 is $34.6 million, down from $64.7 million for the 53-week period 2011. The expected decline in 2012 was primarily related to lower military display revenue and decreased display sales in consumer electronics segment. On a non-GAAP basis, revenue for fiscal 2012 was $94.5 million, in line with our revised guidance of $90 million to $95 million. Non-GAAP revenue includes our III-V product line revenue of $58.8 million, which is included in discontinued operations. Gross profit margins for fiscal year 2012 was approximately 30% compared to 42% in 2011. The 2011 period included higher revenues from Military Display applications, which tend to generate high gross margins in other display products. Research and development expense for the year was $14.7 million or 42% of revenues compared with $16.5 million or 26% of revenues for 2011. Decreased R&D expense is related primarily to lower funded R&D by U.S. government. For the full year 2013, we are targeting R&D expense to be in the range of 50% to 55% of revenue. Selling, general, administrative expenses were $17.2 million or 49% of revenues in 2012 compared with approximately $16 million or 25% of revenues a year earlier. The increase in SG&A as a percent of revenue in 2012 period relate to additional stock comp expense. For full year 2013, we are targeting SG&A expenses in the range of 42% to 45% of revenue. The tax provision for the year ended December 29, 2012, was $835,000 (sic) [852,000] as compared to $174,000 in 2011. The increase is related to the closing of our Korean subsidiary, Kowon. As a result of the closing, we have provided for the taxes on Kowon unremitted earnings, which will eventually be repatriated to the United States. During 2012, we invested a total of $3.2 million in Ikanos Consulting, acquiring controlling interest in the company. As I noted on our Q3 call, our condensed consolidated financial statements now include the accounts of Ikanos. On the bottom line, the net loss for fiscal 2012 was $18.4 million or $0.29 per share compared with net income of $3.1 million or $0.05 per diluted share. Results for the 2012 period included $600,000 of our noncash write down, associated with our Ikanos investments. Cash and marketable securities totaled $92.5 million with no long-term debt on December 29, 2012, compared with $105.4 million at year-end 2011. Please keep in mind that our year-end 2012 cash balance does not include consideration received in the sale of our III-V product lines, IQE. The average purchase price subject to certain adjustments with $75 million, hoping to see the total of $55 million from the sale at the closing, with an additional $5 million placed in escrow pending a final determination of working capital and other adjustments. The remaining $15 million will pay to us on the third anniversary of the closing. Net cash provided by operating activities was $3.8 million for the year. Capital expenditures were $1.4 million for the quarter and $9.8 million for the full year. Depreciation and amortization was $1.4 million for the quarter and $9.1 million for the full year. In 2012, we repurchased 3.5 million of our common stock. We did not repurchase any shares in the fourth quarter. Stock-based compensation was $0.7 million for the fourth quarter and was allocated as follows: $500,000 to SG&A, $123,000 to classified revenues and $95,000 to R&D. Accounts receivable days outstanding on December 29, 2012, were 53 days compared with 46 days at the end of the fourth quarter of 2011. Turning to our guidance. We expect revenues in the range of $18 million to $22 million for fiscal year 2013. While we expect the Motorola Solutions will begin shipping its Golden-i based HC1, I believe the forecast revenues derived from Golden-i will be limited until the product has brought to commercialization threshold and has been on the market for a period of time, so we have, therefore, not factored revenue from Motorola in our revenue forecasts. Near term, based on our expectations for significant development and marketing expenses this year to commercialize Golden-i technologies for additional application, we expect to incur consolidated loss to the fiscal year 2013 in the range of $15 million to $19 million. While we have always been fiscally conservative and will remain so, investors should understand that we believe we have a great opportunity to position ourselves in a growing wearable cloud computing market, and therefore, we will measure success in 2013 by our ability to develop products and establish relationships and not necessarily by achieving a financial metric. As John described, we believe the wearable computing market is growing to expand significantly over the coming years. And we've been executing a strategy to build a critical component and reference systems to go into customers branded products. Our financial fundamental, particularly a strong cash position and 0 debt put the company in a strong position to make the investment and corner partnerships necessary to be a leader in the wearable computing space when products begin hitting the market later this year. And with that, I'll turn the call back to John to conclude our prepared remarks.
John C.C. Fan: Well, thank you, Richard. Before I turn the call over to questions and answers, I would like to tell you that in our 25 years, we have never been so much -- we have never seen so much excitement from both consumers, as well as partners towards our pursuit of wearable computing market. We believe that we have seen an inflection point that combines advances in wireless communications, cloud computing, voice recognition and speech enhancement, all new technologies, optics and ergonomics. We were allowed to position -- we have 25 years goal, when I left MIT and formed Kopin to become a reality. Kopin's position now to lead in providing critical components and licensing reference systems to partners who develop branded wearable computing products. Our recurring revenue and business model will position ourselves well to leverage our resources and grow faster than the market. So with that, operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Matt Robison of Wunderlich Securities.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Rich, on the operating cash flow, can you give us what it was for the continuing operations in the fourth quarter?
Richard A. Sneider: No, actually I do not have that in front of me. I can get that to you later.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes, that will be great, because -- obviously, saw the filings made with your pro forma for 3 months, but I didn't get -- I didn't see a quarterly breakdown so -- I mean for 9 months. So it will be tough to end 2 things at this point. And there wasn't cash flow as I recall in that filing either.
Richard A. Sneider: We'll be filing our full 10-K tomorrow, which will have everything, but if you call me -- definitely, I can get to that number.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. And CapEx same story?
Richard A. Sneider: CapEx for -- do you want -- for the fourth quarter?
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Yes.
Richard A. Sneider: $1.4 million.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: But with the debt, was that only for continuing operations?
Richard A. Sneider: Yes.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. So discontinuing operations that whatever you spent to keep that going is not included in there. Just a....
Richard A. Sneider: Right. It was a couple of hundred thousand dollars.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. And of the depreciation -- of the G&A, was it all depreciation?
Richard A. Sneider: No, we have amortization associated with the intangible assets.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: I absolutely expect, so what was that amount?
Richard A. Sneider: The actual breakdown of that number, I think -- I can give you that number later. I believe it was around $150,000.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. And that depreciation is, obviously, only for the ongoing, right?
Richard A. Sneider: I provided that breakdown in the table.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. Headcount?
Richard A. Sneider: Right now, we're about 200 people.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Where do you expect to see that going this year?
Richard A. Sneider: Right now, there -- we'll just leave it at the 200 number.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Okay. And why is the revenue guidance for '13 so far below the run rate in both the third and fourth quarter?
Richard A. Sneider: Well, we expect a continuing decline in the military during the course of the year. We think what's going to happen this year is that it's going to be more R&D oriented. We're in a number of research and development programs with the government that are really expected to deploy in 2014. So some of the legacy stuff is unwinding, and so we're kind of in a transition year there.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Is there any potential for some business that might be associated with your ability to supply versus competitors?
Richard A. Sneider: I'm not sure I understand the question.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Or do you have, are there any opportunities for customers to come and change their requirements, because you've got a heritage of supplying in some of the legacy business, it might not be supported so well by competitors?
Richard A. Sneider: Yes, I mean, the business goal is always difficult to prepare -- not prepare -- to predict, so there is potential upside there. And as we've indicated, there's really -- there's no Motorola revenue or any other types of, really, Golden-i type technology revenue that factors in the forecast, so those were all potential upside.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: What's going on with the fourth dimension and the other high wear and consumer-type applications?
Richard A. Sneider: Fourth dimension has actually done very well over the last 6, 9 months, penetrating the 3D metrology market. I think that they've signed up with the 2 largest players in that market, and they're working on developing a number of other agreements. So they have received a tremendous response. They make it a -- John can speak to this better than I can as far as the quality of their display, but extremely high resolution, beautiful color. And it fits very well into that market, so they're actually doing very well.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: And they have other type of wearable technology in the camera business?
Richard A. Sneider: Well, you see people like ViewSticks have products that are being offered that we supply, recon ready's another group that is supplying products that are all tangentially related to the wearable computing market. And so we're supplying to those guys. And they're all pretty bullish on the entire market.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: Well, that's been true for quite some time as we know. And I did see the ViewSticks stuff at the Consumer Electronics Show; it looks like something late this year that would be a big improvement. But how did that business compare with last year?
Richard A. Sneider: The -- you want the breakout, is that what you're asking?
Matthew S. Robison - Wunderlich Securities Inc., Research Division: No, if you could I just give me the tone of -- how was -- how the trends, is it -- did it improve or have you got offsetting effects with camera versus wearable? What's the [indiscernible]?
Richard A. Sneider: Yes. I mean eye wear was essentially flat and digital camera was down.
Matthew S. Robison - Wunderlich Securities Inc., Research Division: And do you expect that -- any reason to expect that the eyewear would come up enough to offset the trend in the digital camera?
Richard A. Sneider: If you believe the customers' projections, yes.
Operator: [Operator Instructions] Our next question comes from Joseph Zaccaria of Needham & Company.
Joseph Zaccaria: This is Joe, calling on behalf of Raji. I was wondering if you could talk a little bit about cash burn moving forward.
Richard A. Sneider: For 2013, we think cash burn will be in the range of $13 million to $16 million.
Joseph Zaccaria: All right. And can you talk a little bit about what the revenue expectation is for wearable computing once it hits its run rate?
Richard A. Sneider: How far up you want to go?
Joseph Zaccaria: I guess as far as you'd be comfortable.
Richard A. Sneider: I think, John, prepared remarks started at the call. We think this is a huge market, and we think that we're very well positioned in it. And so our drive is to become a billion-dollar company, frankly.
Joseph Zaccaria: Okay. All right, I appreciate. And, I guess, that's over what the next 4 to 6, 4 to 8 quarters not doubling our company, but the run rate?
Richard A. Sneider: Yes. I mean as, John, as Mark indicated, I think we expect products to start being offered probably in the fourth quarter of this year, and then '14's the inflection point where it really starts taking off.
Operator: Our next question is from Aram Fuchs of Fertilemind.
Aram Fuchs - Fertilemind Capital: I was wondering if you can give a survey of the market as you see it both in displays and in the hurdles that have to be overcome. The weight of these glasses tends to be -- or when I put them on, personally, in interviews I've done with past consumers, the weight is a key variable. Are there other variables that you worry about that you think you have to overcome?
John C.C. Fan: Yes, that's a good question. I think you're addressing the ergonomics and comfort of the 6 areas. In fact, I think it's one of the most important areas, because if people are not willing to wear you kind of get started. It's not just the weight; it's the balance on your head, balance on your ears. There has to be comfort to wear. That's the most important thing. Another thing that's very important, you have to be willing to wear. You have to look good on you. It's just not just the comfort alone, it has to look good -- or look in some way, look familiar, you don't want to look odd. All those things are again subtle, and, of course, also it depends on your application. In the case of industrial application like the Motorola's HC1, those are to really perform a task. You fix, check engine, you try to catch a criminal. In this case, both comfort and look are not as important. But in the case like Glass for consumers, it becomes very important. So all this tells me that it tells us that the ergonomics is very important, also it tells you that the weight is a very important like you mentioned. So the optics, everything -- it's, actually, everything, electronics, every packaging had to be very lightweight. If you have gone to CES see our Golden-i, it was more than 3.8. It's extremely lightweight. It's made out of magnesium. You plan to have it extremely comfortable. And that's really, in many ways, a game changing. So to answer your question, yes, it's very important. We knew about this for a long, long time. We've worked with the military. We've worked with Motorola. We've worked with other companies. And we're very trained to how to solve the problem.
Aram Fuchs - Fertilemind Capital: And then on the display, there are all these different technologies, LCD costs, where do you see yourself sitting there, obviously, in Golden?
John C.C. Fan: That's again a very good question. Of course, I'm slightly biased. But let's take away the bias ahead. Just look at the situation. If you go back to your first question again, the weight is very important. That means the optics and the weight started to be very small, and also have to be very bright, because the image has to be very bright, because it has to go outside in the sun. It has to be very bright. So ultimately, we look at all this. And I think our customers and partners agree, there's only 1 technology that exhibit for this kind of application. That is our technology, fiber display technology; the translucent LCD is best tailor-made for this application. It's not an accident. Remember, we work on these things for 25 years. 25 years ago, we already had that dream, that wearable mobile computer will come. We developed our technologies that specifically tailor-made for this market. And right now, we are right. We'll give you the lowest, highest -- lowest-power, brightest, lightest optics system for wearable computing. And I think the market will certainly prove us to be right in the near future.
Operator: It appears we have no further questions at this time. I would like to pass the call back to management for closing comments.
John C.C. Fan: Well, thank you for joining us today. And then we'll hope to keep you updated very soon. Bye-bye.